Rolly Bustos: Hello everybody and welcome to the Draganfly earnings call. We apologize for the late start. We had a little bit of technical difficulty on our end, but looks like we have it settled now. And because we are a few minutes late, I think we will get started immediately. So again, welcome and greetings to all shareholders, stakeholders to today's Draganfly 2024 Q4 and Full Year Earnings Call. Again, my name is Rolly Bustos. I am the Internal Investor Relations representative here at Draganfly. We appreciate you all joining us. We will start with our CEO and President, Cameron Chell, recapping the fourth quarter and full year 2024 earnings headlines. Next will be a more detailed financial review with our CFO, Paul Sun. We will then conclude by addressing the pre-submitted questions we've received. As always, you are welcome to reach out to me any time directly at investor.relations@draganfly.com. I will remind everyone that this presentation may include forward-looking information and statements. These statements are not guarantees of future performance or financial results and undue reliance should not be placed on them. Any future events or financial results may differ from what might be discussed here. The company's results and statements are accurate as of today, March 27, 2025. We are under no obligation to update or renew these statements outside of material press release disclosure going forward. The full forward-looking disclaimer can be found on Page 2 of this presentation and on the screen right now. So without further ado, Cam, please go ahead.
Cameron Chell: Good afternoon, everybody, and thanks so much for taking the time to be with us. We're thrilled about what's transpired over the last year, in particular, in our Q4, and we appreciate your trust and consideration in being here today. So just a couple of quick financial overview or highlights that we'll be running through today for our 2024 financial snapshot. Basically, we've really established a base revenue for the business, basically an amount of capital that or amount of excuse me, revenue that just kind of rolls in on an automatic basis through our website inquiries and through the work of our excellent sales and business development teams. And we've also strengthened the liquidity in the business in terms of being able to raise capital, our volume in the stock and of course, the amount of sales and how we built our capacity to now meet the demand that's hitting the market. So our revenues for the year were $6.56 million. Our gross profit for the year was $1.39 million. Our cash balance at the end of the year was $6.25 million, and our gross margin was 21.3% with some noncash write-downs that we took against that margin. And so our adjusted margin is 31% or just under 31%. Paul, next slide. So a couple of the other things just to talk through about our 2024 year, in particular, our Q4. So in Q4, we were selected early in the year by Mass Brigham General out of Boston in order to start to implement their home hospital delivery and medical delivery program. It was a very competitive situation for us to be able to be selected for that, and we're really honored and thankful to the team that was able to put this together. We actually completed Phase 1 of that pilot program and are actually now active in Phase 2 of that. And as a part of that, as we completed Phase 1, we've actually now received FAA waivers to operate over moving cars and vehicles in the Boston airspace. And so this is one of the busiest airspaces literally in the world. And the use case here is that Boston Mass General is looking to use medical drone delivery in order to facilitate drone deliveries between their literally hundreds of different clinics as well as their home hospital patients, where it can take hours and hours in order to get things like pharmaceuticals, test lab results, equipment, emergency medical supplies, things of this sort to locations, depending on traffic conditions or weather conditions and such. And so this is a leading-edge program that's being pioneered by Mass Brigham General. There are a number of hospitals that are now looking at this actively throughout the United States, and in my opinion anyway, looking to Mass General as the leader in this space. So we're honored again to be working with them on this. And this is also in conjunction with or excuse me, in addition to the recent announcement that we just made with Massachusetts Department of Transportation, where 3 companies selected to demonstrate medical delivery in the state of Boston, where we also did receive FAA waivers. So we've made some tremendous gains in that particular area. Also in 2024, in Q4, big for us was the unveiling of our NDAA-compliant FlexForce FPV system. Now, an FPV is a first-person viewer drone. They're probably best known as drones that are being used in Ukraine right now to great effect. And these drones to be NDAA compliant has been quite an accomplishment, securing the supply chain, the components, the parts, working through all the certifications. And we have actually now have these particular drones in theater and operation with some amazing news and upcoming events that we'll be able to talk about shortly in the coming weeks. Our Q4 revenue, which is really one of the most exciting parts of highlights of our year, is up 76% year-over-year. Now, our revenue for the year is pretty flat, but the reason being is that we basically were at capacity. At the end of Q3, we were able to increase that capacity with our upgraded plant and our new plant actually just starting to come on stream. And so in Q4, we're able to see the result of that, and we've got a 76% gain. So we're really excited about what's unfolding here in the new year, our ability to meet demand and that demand continuing to increase out there. Feeling really good about Q1, but I can't say much more about that right now. Also, on the leadership front, honorable Andy Card, who's the former Chief of Staff of the White House, has joined our Advisory Board. Now, Andy was a previous Board member. He had other commitments, but he's such an integral member and a personal mentor. We're very, very pleased to have had him join our Advisory Board, and thank you to him for that. We've also introduced a new audit Chair, Kim Moody, who is a 30-year veteran in the audit and tax space. He has now actually taken on the audit chair and joined our Board of Directors and continues with the discipline and rigor that we've had in the past and will continue to have in the future. So thanks to Kim for coming on board. And I think if anybody looks at his background and his pedigree, you'll see that, once again, just the quality of people that we are very fortunate and able to attract to the organization is completely outstanding. Next slide, Paul. So in addition to the things in Q4, you can see that 2024 was a significant year for us, all kind of started off way back when we were integrating some of our product with multiple other vendors out there, as an example being Doodle Labs and UXV technologies. Now, the reason that this is important is that one of the characteristics of the Draganfly product line is that it's not insular. It's not a closed system. So everything that we build is modular. And so what that means is that we have dozens and dozens of integrations with other payloads. So we've got fantastic partners like Doodle, UXV, VRR, Mimir, numbers of different camera companies, LiDAR companies, and the list goes on. Basically, what they do is they've got a payload that they would like to or has used to be used as an incredible aerial sensor or delivery device. So we basically modularize all of our platforms across our entire product line so that those payloads can be adapted up and integrated into our drone systems. So these partners, first of all, are an incredible sales channel for us. So they're out selling these products with us generally as the preferred drone partner. And the other advantage of this is that when we have customers come to us, often what happens, more often than not, is they come to us saying, "Hey, we've got this particular camera system or this particular AI system or whatever the case may be, and this is how we want to use it". We need a drone system that can support this. And that's just not in terms of flight time or payload capacity, but it's also software integration, expertise to operate, subject matter expertise in the particular verticals that we work in. And that's really our strategic advantage in terms of we can bring a total capability, not just a solution, or a product, but a capability to our customers. We also do a number of services out there in very specific areas. And so those very, very technical services, things like wildfire, landline detection, medical delivery, those highly specialized services we also do, and that was highlighted in some of the work that we were doing with First Atlantic Nickel. Also in terms of some of the things that we did with our leadership this year, we're very, very honored to have a very distinguished entrepreneur, military veteran, and incredible product engineer, Tim Dunnigan, join us. Tim heads up a company that has developed a fantastic product called the Mjolnir. Now this is an ordinance that fits onto drones, very sophisticated. It is fully integrated with our full product line as well. And Tim's company has been incredibly integral in introducing us to many, many military opportunities. Thomas Modley, who's the former Acting Secretary of the Navy of the United States, also joined our Board this year. Tom was actually the only person that was ever able to accomplish an audit of the U.S. Navy. And again, adding to the strength of our governance, but also the strength of the expertise that we bring into that military vertical, not just from an operational standpoint, but also from a procurement understanding point. You can see the rest of these here. It was a very busy year. These are just highlights. It's basically monthly. There was always something very significant happening that we were moving toward all the while, while we were getting our new plant capacity built out. Paul? A few other just milestones in terms of the very specific verticals that we work in. In government and defense, we had our first DoD purchases that were generally into special ops. And that was of the Commander 3 XL and now our FPV drones. So really, really big milestones for us. These are often 2-year sales cycles that go through our customer understanding their concept of operations or what they call their CNOs, right through to selecting the type of drones they want, testing the type of drones they want, going through training on the types of drones, then actually putting them in some sort of theater to generally understand the resilience, make any modifications, adjust our entire standard operating procedure so that it fits smoothly into them, a full kind of audit process to make sure that we can meet their capacity demands and then you start to get your initial purchases this quarter. So really excited about what the team has been able to do for our shareholders in that case. We are engaged in multiple certification protocols being NDA compliant, DoD airworthy registration certificates, DIU Blue list, AUVSI green list programs, all the different things that certify not just our drones, but our supply chain, our cybersecurity, the classifications and certifications, and clearances of our people, all the stuff that's required in order to operate in this government environment now as we see very, very dynamic geopolitics unfolding. And then a really, really big highlight that happened for us in Q4 was Chris Miller, the former Acting Secretary of Defense of the United States, joined our Board. And I don't know of many other companies, certainly growth companies of our size and certainly in this sector that would have the former Acting Secretary of the Navy and Defense and the former Chief of Staff of the White House, all sitting on their Board. I think it speaks volumes to the people and to the product that we have and to the commitment that these folks have into this industry as well as to us as a company and to our shareholders in particular. And then, of course, I mentioned we launched the Flex FPV system, which is a highly unique system. We don't publicize a lot of the specs around it because it has some incredibly unique features that we learned in the Ukraine that we brought back into the 5 Eyes and the NATO horses. But the reason it's called Flex is that basically with one PowerCore, you're able to adjust the size, distance, and mission profile that this Flex FPV can attain. So we're meeting some great success on that. I'm really excited about the work that's been done there. On the international side, we did sign an Australian distributor, and we are making inroads into the government and the commercial market there. We participated in dozens and dozens of industry and private demos and events, both in the military, government, commercial, and industry side as well as multiple commercial pilot programs, as I mentioned earlier, in particular, in Boston. On the search and rescue side, our highly specialized services division did deploy in support of search and rescue organizations that were using our product. We actually supported pilots and expertise with some of those in live search and rescue operations. And of course, we've got our wildfire deployments, which we expect that business to possibly well, more likely than not double this year. It was about $400,000 last year, and that continues to grow. And we really have a level of expertise there that's letting us design products for wildfire that are considerably more advanced than what we're seeing from competitors, because again, we're not designing drones, we're designing capabilities based on the experience that we've got in those live situations. Paul? I'll spend a very brief time here just for review. One of the things that Draganfly has as a North American manufacturer that is somewhat unique, in fact, incredibly unique is the fact that we have a full product lineup. So when we look at the other drone manufacturers that are true North American drone manufacturers, which is an incredibly important component in today's environment is that they have a product. Some of them have 2 products or some of them have a product that kind of does 2 or 3 different things. We have a full product lineup that ranges from a 4-inch drone FPV drone to a 12-inch FPV drone through to our APEX heavy lift, super heavy lifts are coming this year. And what's unique about this is that all of these use the same flight control software. They can all use the same flight controllers. They're all interoperable with the different software integrations that we've done, the different payload integrations that we've done. And so what that means is that when we're dealing with a customer and they've got 2 or 3 different concepts of operations that they need to execute on, what they don't need to do is learn 2 or 3 different control systems or flight operation systems or software analysis systems, whatever the case is, no matter what system they're flying or whatever system their operators or pilots are controlling, that's all the same buttons, all the same controls, all the same, software systems regardless of the different payloads that we get integrated into it. So we're finding great success in organizations that are saying, "Hey, we may need an FPV drone, but we also need a heavy lift drone for forward operating position logistics as an example. So this particular drone here, the Commander 3 XL, I just see a typo, I'm sorry. It's got about a 45-minute plus flight time. It actually has just under a 25-pound payload capacity. So this is a 22- to 23-pound drone that can actually carry 25 pounds. So it's incredibly unique. And you can see by the design in it, it's really designed to be able to handle logistics. It's got retracting landing gear, which gives a more surface area and actually a clear field of view underneath it for any of the camera operations. All of these drones from the Apex all the way up to the heavy lift have optional NVIDIA onboard computing capabilities. So we're well established in the AI, edge, and onboard computing capability, which is very important for things like doing instant survey, instant analysis, denied environment, non-GPS operations, all of the different things that we've learned in the different theaters that we've been operating in now for the last number of years. Next slide, Paul. Again, I won't belabor it, but this is a drone that we came out with this year, which is called the APX drone. Now this is a 6.6-pound payload capacity. It is an ISR drone. We have chosen for this drone to be a little bit bigger than the typical ISR drones out there. So if you think about a DJI Mavic, this is a bigger drone or the SkyDOX10 or TLs drone. This is a bigger drone for that because we have found that, in particular, our law enforcement wants more capacity. And they also want systems that aren't entirely integrated with only a specific camera system. So you can see, again, a large surface area underneath a very large battery capacity. The whole thing folds up into a backpack. But this thing here can carry, again, dozens and dozens of different camera operations. And there's not really another drone of this size that can do light LiDAR operations, even logistics operations, and still double up as an ISR drone. So we're finding a very unique market for this as well because what we're also seeing, in particular, in law enforcement, as they get more and more experience using drones, they have more and more use cases of where and how they want to use drones. And so typically, drone usage in the past has been just what they call ISR surveillance, so intelligent surveillance and reconnaissance. So in law enforcement terms, they just use surveillance. But now they're looking for it to do many other things, carry heavier sensors, need longer flight time, and that's which is getting great demand now. Paul? And then, of course, we have our heavy lift, which is the one in the middle there, which is a 67-pound capacity drone, all folds up into a couple of Pelican cases. And this is primarily being used for forward operating base operations or some sort of medical logistics. So the UAV market is growing, leaps and bounds. It really is about to take off in a big, big way in North America. And I think what you have seen with any of the 3 or 4 kind of what we'll call real players, if I can say that, in the market out there is that all of our revenues are about at the same spot right now. But from all indications is that those top 3 or 4 players, all of their revenues are about to just start to explode, and they've been building capacity for the last couple of years and working with the customer base out there to help understand what their concept of operations is, what their specific use cases are going to be. And I think we're very well positioned with a couple of other companies as well, but we're very well positioned to be able to answer that need and start to meet the demand in this particular market, which is absolutely huge. I'm going to throw it over to Paul to run through our financial highlights, and then we'll circle around with a little bit more commentary, and we'll jump into questions. Paul?
Paul Sun: Sounds good. Thanks, Cam. Appreciate it. Thanks, everybody, for joining. So on this table here, we'll go over the year-over-year for the full year on the income statement. So revenue for the year was up slightly, as Cam mentioned, over 2023. Full year revenue comprised of $5.37 million from product sales and $1.1 million coming from drone services. Gross profit was about $1.4 million for the year compared to $2.06 million from last year. This year's gross profit did include a onetime noncash write-down of inventory of $627,000, while last year's gross profit included a noncash adjustment of $332,000. So if we ex out these adjustments, gross profit decreased by $370,000 year-over-year and as a percentage of sales, adjusted gross margin decreased from 36.5% in 2023 to the adjusted 30.9% for this year. Total comprehensive loss for the year, including all noncash items, was $14.06 million compared to a loss of $23.7 million last year. And the comprehensive loss for last year ended December 31 includes noncash changes comprised of a gain in fair value derivative liability of about $1.8 million, a recovery of impairment of notes receivable of $40,000 and a write-down of inventory of $627,000 and otherwise would be a comprehensive loss of $15.3 million versus last year's $23.4 million, excluding noncash items. So the largest contributors to the improvement in the year-over-year loss is a reduction in office and miscellaneous, professional fees and some R&D. Following that, the adjusted comprehensive loss per share this year would be $4.85 versus $4.45 compared to an adjusted loss per share of $11.88 last year versus the $14.64 shown here. So on this table, we'll go through the quarter. First, we'll do year-over-year comparisons. So for the quarter this year, as mentioned at the outset, Q4 was up 76% to $1.61 million from $916,000 in the fourth quarter of 2023. Fourth quarter revenue comprised of $1.4 million from product sales and $198,000 coming from drone services. Gross profit for the quarter was $215,000 compared to $258,000 in Q4 of last year. And this quarter did have a onetime noncash write-down of inventory of $167,000 and otherwise would have been $383,000 compared to the same period last year, where there was a onetime write-down of inventory of $123,000, making that adjusted gross profit $382,000. So if you take that into account, adjusted gross profit was up a snick year-over-year, but adjusted gross margin was down a little bit year-over-year, and this was a result of more sales coming from higher-margin products last year versus this year. And then going through the comprehensive loss for the quarter, it was $4.7 million compared to a loss of $4.2 million in the same period last year. This quarter does include a noncash change comprised of a fair value of derivative liability in this case of $946,000 and a onetime inventory write-down of $167,000. So otherwise, it would be a comprehensive loss of $3.6 million versus an adjusted $4.2 million in the same quarter of last year. So the decrease in loss, again, due to lower professional fees, wage costs and share-based compensation. So we'll continue on this table, but given I just went year-over-year for Q4, now we'll do quarter-over-quarter. So that's Q4 of '24 versus Q3 of '24. So revenue, of course, for Q4 was $1.61 million, as mentioned. It's down 14% compared to the $1.88 million for Q3, mainly just due to some lower product sales. Gross margin percentage for Q4 was 13.4% compared to 23% in Q3 of '24. However, if we back out the onetime inventory write-down mentioned before, gross margin for Q4 was 24% compared to 32% after adjusting for noncash items for Q3. Comprehensive loss for Q4, as mentioned, $4.7 million compared to the comprehensive loss of $364,000 in Q3. However, there is that loss of derivative liability and those write-downs. So if we do an apples-to-apples comparison between Q4 and Q3, you end up at $3.6 million versus $3.7 million. So again, the decrease in loss for Q4 was due to lower professional fees and wage costs. So on the final slide here, looking at some balance sheet items. You can see our total assets increased from $8.3 million to $10.2 million year-over-year, and that's largely due to the increase in cash. Working capital surplus at the end of last year is $3.8 million versus the deficit of $717 million shown for 2023. However, with the working capital could have been a surplus of $6 million and shareholders' equity would be $6.8 million versus the $4.6 million shown here if we out the noncash fair value of derivative liability of $2.2 million. And last year's adjusted working capital would have been $3.4 million and shareholders' equity would have been $4.6 million. So an improvement year-over-year. And you can see we continue to have minimal debt. And I think I mentioned at the outset, our cash balance at the end of the year was $6.2 million compared to $3.1 million at the end of 2023. So with that, Cam, I'll pass it back to you.
Cameron Chell: Great. Thanks, Paul. Appreciate it. I think what always gets me most excited is customer engagements an incredible product being used and just seeing a customer actually, maybe we'll stop sharing the screen, if that's okay with you, Paul. Thank you. And seeing customers really get excited about what their capabilities are and how we're saving time, money and lives with them. However, where we are seeing that show up in the financials is that basically on the same year-over-year revenue, which again, still had a 76% increase in our Q4 revenue because we actually had our capacity come online. Earlier in the year, we're like heavily resource constrained because we were finishing up and building out our upgraded and new plants last year and so a lot of focus was put on that. And so for us to then get that capacity and then meet the same numbers as last year with a 76% increase in Q4 was really exciting. Further, what would suggest that we're tracking in the right direction is that on that same revenue number from last year, we had $23 million in losses. And that's because we started those plant build-outs and stuff the year before. But this year, on basically the same revenue line year-over-year, we only had $15 million in losses. So the trend is going in the right direction. And you can see now that as we just add fuel into the fire and start meeting the volume numbers. Hopefully, over the course of the next 18 to inside 24 months, we'll see profitability or at least EBITDA positive. So really excited about those comparisons and what's unfolding for us. So what I thought I'd do now, if it's okay, is I'm just going to switch over and take a look at some of the questions that just came in. So just give me one quick second to do that.
A - Cameron Chell: Okay. So the first question that came in, just reading these quickly, Actually, the first and the third. So we had six questions come in. And the first question and actually, this is also going to address the third question. So I'll read them both at the same time. So how will tariffs affect our business? And does the feud between Canada and the U.S. affect our ability to get work in the U.S.? So it obviously came from an existing shareholder or one of them did anyway. So that's fantastic. Well, surprisingly enough, and I wish this was a stroke of genius or brilliance on all of our part. It's not. It's more circumstantial luck than anything. The tariffs are benefiting us. And not that I want them in place because they're not benefiting probably a lot of folks out there. But the reality for us is we have U.S manufacturing capabilities and the large orders that not our one-offs, but our 2-offs, those types of things, but our large order capacity can be met out of the U.S. And so for the most part, it is by the vast, vast most part, it's tariff exempt. Now we have done also some work with our product that is built in Canada. We've adjusted some of our build of materials and such that we are using a little bit more U.S.-specific component in there in order to reduce any tariffs. Also, a lot of the product that does get manufactured up in our Canadian plants actually comes from the U.S. So there's a reaction process for those tariffs not to be affected. So even in the bold case, only about 15% of our build typically is even subject to tariffs. So between the demand in the market and our desire to make sales and maybe eat a bit of margin, we have not seen any net, I'll call it, decrease or adverse effect at this point in our sales. Also, there's just so much demand in the market right now that I think we're just going to continue to see our numbers move up accordingly. So that hasn't had a big effect on us. And because we are both a U.S. and Canadian-based organization, we have some advantages there to work with. Now the other area that surprisingly has really helped us, which is unfortunate from an international relations standpoint, though I think it's short-lived. Is the fact that at least up in Canada, there is now a mandate to deal with Canadian companies. And we're the only small UAS or I would call, qualified provider of UAS type systems of the drones that we make into those really, really important government and law enforcement agencies. So really, what that means is you've got a territory, a country that is amongst the top 10 economies in the world. It's the population of California. It's got a larger economy than California. Well, maybe that's not quite true, but it certainly has a larger population than California. It has a much larger economy than, say, Russia as an example. And there's one manufacturer up there and it's Draganfly. So we have seen increased demand up there, not just from the national kind of pride, if you will, but also because of the requirements for stronger border patrol and security. So we're kind of getting the benefits of this seemingly anyways. I don't think it certainly hasn't translated financially yet. But certainly, in terms of demand, that is the case. Now there will be some, I think, important announcements coming out related to that in terms of some of the work that we have done with some of the Canadian government up there and some of the programs that we're now involved with. So stay tuned for that. The next question I've got here is any updates on potential for meaningful contracts? Yes listen, I feel like a broken record as I'm sure every other CEO and CFO and COO of the other drone companies out there do as well. It has been a long couple of years since the real strong premise for larger contracts from North American drone manufacturers has come to bear. And it's taken a few years for all of them to now start to turn into programs of record. So we are parts of programs of record along with other vendors and payload providers of ours. And we don't overly promote those. That's for customer reasons. It's also for security reasons. But we are now starting to see those orders come in. So when you get a large order of program of record, typically, what happens is, basically, it means you're allowed to sell into that organization like the DoD or the DND, the Department of National Defense or Department of Defense. But what you need to do is then you actually need to go and spend the time doing the work with all the different units and battalions and et cetera, et cetera, in order to sell your product in there. You've gone through all the technical, you've gone through all the clearances. So they know that they can deal with you. You know you're in good standing. And so now you still have to work through your concept of operations. Also, there's still a lot of ambiguity, believe it or not, in, say, for example, the law enforcement industry or industry sector, where there's still a lot of departments that are not clear on can they buy Chinese drones or not. And most of them are definitely leaning away from the [Audio Gap] looking at things like training, et cetera. So it's just taken some time. And I suppose the saving grace here is that it's not unique to Draganfly. That also said, without trying to belabor the point, we are working on a tremendous amount of incredibly large orders. And it's the biggest reason that we built our capacity out over the last 1.5 years is very simply because we had to have that capacity in order to have those large orders secured. So I'm very hopeful to have some announcements coming within the next quarter or 2, maybe at the outside for some very, very sizable announcements. We don't give guidance, and that's on the advice of our Board and our legal. But I can tell you that I'm sure glad we got that capacity built. The next one is if the war in Ukraine ends, do you think we can benefit? A couple of interesting things about Ukraine. First of all, the Ukraine economy industry, ingenuity, they are amongst the best drone builders in the world because they've got the most amount of experience in at least in that military theater. So because of the very fortunate work that we've been able to do over there, pretty much since the beginning of the escalation of that war has enabled us to really get a lot of lessons. We've seen them incorporated into our designs today, including our FPV drone. And so we've already garnered great benefit from it. The other aspect of this is, in particular, our land mine services. So the ability for us to use our unique drones with our specific sensors and the unique software that we've got in order to do land mine survey is a multi-hundred million dollar market. And I do think that we are uniquely positioned to be a provider of those services and technology into that market. But if that war ended today, the need and the use of drones would not end today. It would continue to increase and demand. And unfortunately, right now, with the geopolitical instability around the world, there are any number of those conflict areas that are hot beds that we're actually seeing more demand out of than certainly much more demand out of than Ukraine. Would management be able to provide details regarding the current progress of getting Draganfly drones added to the green and blue UAS lists? Additional details about Draganfly's participation in the 2024 Blue UAS refresh challenge would also be great. So we are candidly waiting for word back on our 3XL in particular, on the blue list. We have big expectation or don't have any expectation that it's not going to run through. All of our tests and trials there went fantastic. It is a complex machine. It has many, many mission profiles on it. So a lot of those are going through testing. There's dozens of different payloads that we have integrated with it. So all those types of things are going through testing. And as it relates to our FPV product, we've now sold our FPV product into the DoD. So the APEX is going through green right now, and we have sold it into law enforcement. So there's also a bit of confusion in DIU right now just in terms of how much of that testing process went and some of the funding that they're receiving from the new administration or not receiving or how it's being reorganized. So they've been slow to announce. They've announced a few for sure, but they've been slow to announce a number of units out there that are likely to be approved. And so we'll continue to go down that path. In terms of AWS, which are airworthy readiness certificates, we've gone through that process. We've got our NDAAs in place. And so we continue to be at the forefront of the certifications that are required. The last one here is, does the company currently see a pathway to profitability in 2025? Like I said, we don't give forward guidance, but I believe that we'll have enough orders or enough demand that if we could fill all that demand, we'd be profitable. But it will take us through and past into 2026 to have visibility on profitability, just to speak candidly. But we feel really good about where that's going and then what that means for the future of the company and us being a major and maybe even the major small UAS drone manufacturer. So Paul, any other questions or thoughts that you wanted to round off with?
Paul Sun: No, I think that covers everything, Cam, on my side anyway. Thank you.
Cameron Chell: Rolly, can I turn it back to you to close this out and bring any of your final thoughts to the table.
Rolly Bustos: Sure. Thanks, Cam. Yes, again, sorry to everybody that we're a little bit late. Sometimes this happens. But once again, as always, we always appreciate you joining us. We appreciate your trust and your faith in our company. It's not always easy. I know I talk to most of you, but we are all working hard here at Draganfly. I can assure you of that. And like I said, my line is always open for anyone who wants to have a discussion or has any questions about this call. I'll be happy to speak with you. Great.
Cameron Chell: Thank you, everybody. Deeply appreciate it.